Claudia Kellert: Yes, thank you. Welcome and thanks for your participation in today's conference call about the first nine months 2024. Our Board Members, Torsten Derr and Thomas Dippold will give you a detailed overview about our business development and in particular a focus on the semiconductor market segment. Then, I directly hand over to Thomas Dippold. Thanks.
Thomas Dippold: Thank you, Claudia. It's my pleasure on the first hand to welcome you; secondly, to present the figures for the first nine months of 2024. What we can say overall at the nine months development 2024 is exactly in line with what we guided so far. You know that we made our guidance a little bit more precise at half year where we said it's going to be at the lower end of our given range when it comes to EBITDApre and this is exactly the way how we develop. Here on slide number three, you can see the overall sales and EBITDA development that we have. I think this development that we can show you is exactly as we guided it. We are reaching €782 million sales, which is 4.8% down compared to the first nine months of last year. If you take out any currency and also some portfolio effects, we had some smaller divestments beginning of last year. If you take it out and really compare it like for like, then our sales dropped by 3.6% compared to the first nine months of last year. Our EBITDApre, however, remains almost stable with €127.6 million compared to €130 last year in the same range of the first nine months, which is just a drop of 1.8%. So, what's contributing to that? We have a very strong ongoing performance and we see that now for the four consecutive years in Process Tech. GS, which was growing in particular in the first quarter, then a little bit in second remains flat at the moment, which on the other hand also means that we have some declining effects in Q3. Torsten will elaborate a little bit later on that. We have a special chapter for silicon carbide and we see some weak developments in our Carbon Fibers business units. On the one hand side, Carbon Fibers itself, but also composite solution is burned with some project termination. We come to that when we talk about each and every business unit. In the sales split, you can see that Graphite Solutions is still with 53%, by far the largest business unit in our portfolio. Carbon fiber, which we evaluate some options in either selling it off completely, selling part of it, or even maintaining it stands for 20% of all sales. On slide number 4, we have come to Graphite Solutions and here the sales remain flat or dropped a little bit. It was 1.4% compared to last year. This is due to the fact that our semiconductor and LED business grows by 4% only. Automotive is 3% and all the other business lines that we have in Graphite Solutions are declining. This is thanks to the overall economic development that we see on the world in general, in Europe, maybe in particular, and in Germany very especially. And you also see, when you follow us over the quarters that our analyst calls that our silicon carbide business and semiconductor business overall is significantly calming down and even went negative in Q3. However, we still, thanks to the product mix effects, maintain a very positive EBITDA development in this business unit. We reached €104.3 million EBITDApre, which is almost 5% up compared to last year. This is thanks to some product mix effects that we see in there. Our margin in Graphite Solutions goes up and now reaches some super healthy 25.3%. This is almost 1.5% up compared to last year. Process Tech so far is a continuous success story. We now reached €106.2 million in the top line in sales, which is 11% up compared to last year. Process Tech used to be the smallest business unit that we have. It's now the third biggest or second smallest, either way you want to see it, but they overtook Composite Solutions. I think the development that they show over the last couple of years is quite remarkable on the one hand side in sales, but especially in our profitability. We now reach, after the first nine months of 2024, €25.6 million EBITDApre, which is up 46.3% compared to last year. There's no special effect. There's no one-off. There's nothing in there. It's just better projects, better service, better margins. The margin, after the first nine months of this year reached some very remarkable 24.1%, which is up almost by six full percentage points compared to last year. This is really an outstanding performance. Yes, we see that the order book is still quite full, and for the next six to nine months, which is normally the lead time for the projects and the orders. Not very much can happen. We don't see any cancellations or anything like that. However, when we look at the order intake, we see a certain slowdown. We cross the bridge when we get there, but when we look at the first nine months, we are very happy with the development that they have, and we didn't foresee that for certain. On the other hand, when it comes to Carbon Fibers, slide number 6, there we see exactly the opposite. The sales drop and the sluggish development in our business in Carbon Fibers continues. We are 12.5% down compared to last year. Our sales reach €157.1 million in the first nine months of this year. We see a decline in almost every carbon fiber market that we serve, be it acrylic fibers for textiles, be it PANOX. All the businesses are going down, especially the wind market is continuously weak. This is certainly also affecting our margins because we idle more and more capacity there. If you have this missing fixed cost absorption and the lower prices, thanks to the overcapacities that we see in the market and the low prices that we see from our Chinese competitors, this also affects our bottom line. We now have, after the first three quarters of 2024, an EBITDApre of minus €7.9 million. This is €11 million down compared to last year in the same time range. You also have to bear in mind that in the EBITDApre, there is an equity result of our joint venture, BSCCB, where we make this carbon ceramic brake disc together with Brembo, and some €11.6 million are in the same time. If you take this out, then our result would be minus 19. This minus 19 was exactly in line with our plan for the year 2024. This was so far in the development for the first nine months of the year, exactly what we planned. We knew exactly that this is going to be a bad year. This development was not unexpected. However, when we started our budgeting process and we saw the first signs how the new midterm planning might look like, me and my colleagues here had a look at that. This was the reason why we just came up to you guys at the capital markets some one, two weeks ago, where we informed you via a talk message that thanks to the updated market expectations for the next year and the years to follow, we had to write off our assets and our value in use by €60 million to €80 million, somewhere in this range. We will do that at year end when we know exactly how the VAC looks like and how a real midterm planning looks like. But in this range, we will have an impairment, which is of course a non-cash effect, but it's certainly affecting our net result and subsequently our equity. However, with the shorter balance sheet and the reduced equity, our equity ratio will still be around 40%. It's still a very healthy company that you're talking to at the moment. Last, but not least, Composite Solutions. This business unit is also using carbon fiber and some composite materials out of it, mainly for automotive applications and automotive parts. There, we see a decline in our top line by 16% compared to last year. We now have €95.8 million in our sales after the first three quarters of this year. Why did the sales drop in double digits compared to last year? Because a project was terminated by a customer who used a different solution for the same battery case that he bought previously from us. Therefore, he terminated the contract. This contract was very favorable for us, had a good margin. This is the reason why our sales dropped by 16%. We still had this project in the first quarter, at least with a certain share. But since the second and third quarter, our sales also relatively started to drop quite significantly. Also, EBITDApre is quite affected by a drop in 35%. We now reach 10.7% EBITDApre in the first nine months of 2024, down from 16.6% in the same time range last year. However, we still reach an EBITDApre margin of 11.2%, which is for a tier one supplier in automotive. I think it's not so bad. After the first nine months of the year, our balance sheet or other key figures or KPIs that we show here on slide number 8, which are very important for us, on the one hand side, the net result. Here, you have to see -- maybe it's not misleading, it's presented in the right way. After nine months, our net result is €32.8 million, compared to €5.3 million last year. Last year, we made an impairment of our Carbon Fibers business at half year with some €44 million. That's already in there. Here, in our nine month figure for 2024, the impairment for Carbon Fibers is not yet in. At year end, you will see then hopefully also a higher operative net result, but then it's going to be slightly negative if you take out the impairment that I just talked about. Our free cash flow is positive with €15.5 million after the first nine months of 2024. However, it came down quite a bit compared to last year, where we reached €35 million at the same point of time. A big chunk of it is the customer down payment that we received. At the same time last year, we reached a quite substantial higher number of customer down payment for our graphite product compared to this year. This is the reason why our free cash flow went down by roughly €20 million compared to last year. However, this is positive, and I think it's a very good achievement because we invest significantly higher amounts than our depreciation levels. And last, but not least, our net financial debt remains very healthy. It went up by roughly €7 million, but this is thanks to the fact that we invest so much, and this is affecting our overall cash flow. We still manage our business at a leverage level of 0.7, and our equity ratio at the moment is 43.3%. After the impairment, it will be roughly 40%, still a very healthy development. Our ROSI reaches 11.1%. I think it's also a very good figure, and we make our capital cost by ourselves. And with that, I would like to hand over to Torsten, who will describe a little bit more what's going on, especially on the semiconductor business and silicon carbide in particular.
Torsten Derr: Yes. Thank you very much, Thomas. I have the pleasure to explain you our semiconductor exposure a little bit, and as Thomas said, our biggest business unit, Graphite Solutions, or GS, how we call it, makes up a little bit more than 50% of the total turnover of the company. What you see on this slide is a breakdown of the markets, which our biggest business unit, Graphite Solutions, serves. You can see that the semiconductor segment accounts now for almost 50% of the total turnover. And if we turn to the right-hand side, you can see that our semiconductor market developed quite nicely. We have here the nine-month figures of 2022, 2023, and this year and we were able to grow the business constantly up to now. But you can also see, especially the petrol bar, the top bar, which represents silicon carbide, it doubled from 2022 to 2023, and the growth was minor from last year to this year. That is one reason, and the reason is pure volume effect. Here can you see why everything went down? What we are showing you here is the number of electric vehicles sold by quarter. It went up pretty nicely. In the year 2023, there was a growth quarter by quarter, and then the sales slumped by 26% in the first quarter of this year. After the first quarter down, which is depicted here, we still observed a growth, but you can see in a nutshell there are 2 million sold cars missing every quarter. So, in total, we are going to sell 8 to 10 million less cars compared to this year. What happens is silicon carbide, the main application with 70% to 80%, is exactly inverters in electric mobility. Also, the demand for wafers and the demand for ZIG chips went down. So, we can say we are losing a year or a little bit more than a year to come back on the growth trajectory, which we and our customers expected. But we are still positive about the market development. We read quite some market studies, and if you look especially into China, China had very nice growth rates of 35% plus, and all market surveys say that this growth rate, especially in China, will stay on this level. Germany is in exaggeration to the negative. This will also return to normal. Next slide, what does it mean for us? So, according to the market studies, the BEV market is growing with a CAGR of 24%. For our customers, our customers are the wafer manufacturers, which produce ZIG wafers or ZIG chips. They suffer currently from inventory because they prepared for a steeper growth rate or more EV cars sold. That means they shift currently from the growth mode to an inventory management. I can say every region is affected. It's not only a European effect. We have the same conversations currently with customers from China, from the US, and also from Europe. So, it's a global effect, and we can say that we expect no growth in the silicon carbon field in the year 2025. So, what does it mean for SGL? For us, it's a temporary slowdown and we serve, I would say, all customers in silicon carbide in the world, and all customers confirmed to us that they stick to their midterm growth plan. They shifted the volume a little back to the outer years of their growth plan. They are also in the process to complete their investment. So, no investment project I was aware of that our customers was stopped, it was delayed, or even completed. What do the customers appreciate about us? We are the undisputed quality leader in this field when it comes to high-value chips. They can make better chip quality and better yield with our graphite. We are the only one-stop shop in the market, and we have a nicely distributed production network, which can serve the customers local for local. This might, after the election effect in the US, be quite nice because a huge part of our investments went into our silicon facility in St. Mary's, US. So, we are prepared for local for local market there. We are protected by good contracts, but almost every of our customer is taking the volumes back, and this was the name of the game in the last three to six months. We agreed on new volume figures with most of our customers. We are going into strict cost management, so we are saving wherever we can, and we also delayed some investments. We complete the investments, which were started, but we wait for the market to return until we restart other projects. An opportunity which we see, and this is driven especially from China, is the application of ZIG chips, which were predominantly going into EV industry, in other applications. Right now we see, for example, air-conditioned units. They will be equipped also with ZIG chips, and this is possible because the cost of ZIG chips went down by the effect, which I described, and this makes the ZIG technology accessible to other applications. I want to stress, we have not lost a single customer, and we kept at least the share of wallet, which we had at the customers. We even increased the share of wallet due to our strong contract structure. I talked myself to many of our customers, and they all confirmed their midterm growth plan. Coming to our guidance, we confirm again our guidance for the current year 2024, and our sales guidance is on prior year level. We also confirmed our EBITDA guidance, and we guided the capital markets at an EBITDA between €160 million and €170 million. We will reach this at the lower end of the corridor, and with this I would like to conclude my explanations, and would like to hand back to Claudia.
Claudia Kellert: Thank you. Now we can start with the Q&A session. So, the operator will give you some more technical details to handle the Q&A session.
Operator: We'll now start the question and answer session. [Operator Instructions] The first question is from Lars Vom Cleff with Deutsche Bank. Please go ahead.
Lars Vom Cleff: Hi, good afternoon. Three quick questions, if I may. The first one is regarding Composite Solutions. You indicated on last call that you're in negotiations of a cancellation fee with your customer. I haven't heard you talk about that, so I assume talk is still ongoing. Or you have not been successful, correct?
Thomas Dippold: Hi, Lars. These talks are still ongoing. As you can imagine, in times like this, a tough negotiation, I think we have very good arguments on our hand. On the one hand side, we don't want to spoil the whole relation with that OEM, but these discussions are intense, but ongoing. We are very confident that we get a certain compensation, but these talks are ongoing.
Lars Vom Cleff: Okay, perfect. And then, thinking about the elephant in the room, I have to ask, because your CF Division and what to do with it tends to become a very long-term story, the never-ending story, to be honest. Have you given yourself internally a deadline until when you want to reach a conclusion? Or otherwise think about harsher measures to stop the flow of cash and profitability?
Thomas Dippold: You call it elephant in the room and you're completely right. Yes, we have an internal deadline, but of course, we don't disclose it. We will tell you once we have reached that point. But at the moment, these talks are ongoing. We know exactly that selling a business unit, which is loss-making We know all the advantages. What you can do with all the capacities that we have to sell with all quality, which we in principle have. The thing is only for the markets that we are in at the moment. I think everybody of you know the situation. But I think we have something to offer, but these talks are ongoing. Also, the carbon fiber is a dual-use product. We have sites in the US, in UK, but also in Europe. It's not an easy-to-sell target. However, I think we are doing our best, but certainly, there's a deadline for everything.
Lars Vom Cleff: Thank you. I guess, against the background, the question is too early, but after the impairment, thinking about the remaining book value of the division in your balance sheet, you also don't want to share any view with us on whether you find it fairly valued or whether there will be a book loss coming as soon as you found a solution for the division?
Thomas Dippold: Lars, I think you gave the answer to yourself.
Lars Vom Cleff: I have to try.
Thomas Dippold: Okay. Nice try and well done.
Lars Vom Cleff: Thank you. At least, you regarded it as a nice try. U.S. President Trump and given your business and your divisions, have you done some calculations on the impact of potential U.S. tariffs that are in the pipeline?
Thomas Dippold: No. Lars, we haven't done a calculation, but we estimated everything on a qualitative background. Our asset footprint is quite well distributed. We also have done quite a large share of our investments in the US. We feel pretty comfortable. Even if there are high tariffs, we can go the local-for-local way. Right now, we calculate the effect plus-minus neutral.
Lars Vom Cleff: Perfect. Thank you very much. I'll go back into the line now.
Thomas Dippold: Thank you.
Operator: [Operator Instructions] The next question is from Andreas Heine with Stifel. Please go ahead.
Andreas Heine: I ask only a small one this time. First on Process Technology, could you update us how long your order book is and how long your visibility is? I read a comment that there's some softening in your order book. That's the first question. Maybe an update where you finally will end up with your CapEx budget in 2024 and what, from today's point of view, would say the 2025 budget is. Lastly, on the graphite business, in your split in sales, you show also battery materials as a sales component. You closed your R&D lab. Is that something which will then fade over, let's say, the next year? It's not big, but how do you see that part of the Graphite Solutions? Thanks.
Thomas Dippold: Hello, Andreas. First question on Process Tech. Normally we have a lead time or some overview of our Process Tech projects for six to nine months. This year is safe. Also, the beginning and the first couple of months in 2025 are also more or less ticked. Sales and parts and service business, which is not so much a project business where the project has been awarded remains a little bit volatile. This is more or less on a day-to-day basis. But given the development that we see, I think this is overall a very good and stabilizing development in our overall business. But six to nine months, as a rule of thumb, we can say this is the lead time and the perspective that we can look ahead. You're right, there's a softening in the order intake. This might change when we get new orders. But at the moment, for the last couple of months, we see a slight decline in our order intake. Nothing to worry at the moment, but we have a close look at that, and we intensify our acquisition and sales purposes to see how much we can get from the market out there. Second question was on our CapEx. We think we target this year, coming closer to the year-end, and we are also today on 7th of November, most likely we'll be around 100 million CapEx, maybe a little bit below that. But that's the target that we see at the moment that we aim for, if we also want to spend our money diligently. CapEx for next year is something we will guide you when we present you our outlook and our guidance for the year 2025. Then, you get our sales, our EBITDApre plus also our CapEx budget or a rough guidance on cash flow. But please be a little bit patient for that. We are right in the middle of our midterm planning. We will present it to the supervisory board in roughly four weeks, and then it gets approved. I can't talk about that prior to that.
Torsten Derr: Andreas, you asked something about our GAM business or graphite anode material business, and we were pretty optimistic some years back as 27 battery projects were in Europe, and most all disappeared. Even Oswald is struggling. We have the belief that Europe is not the best place to go into graphite anode material production, and we had significant efforts in the development of new graphite types. As our potential customers were dying down, we decided to close down the lab. There's still production running, which we run in Poland, and the main business which we have. It ends at the end of the chain into some Tesla types. This is the largest share of business, which we have. We have now two options, and we currently evaluate, which way to go. Either we go into a restructuring mode, or we continue to run that business flat out, but this is limited by technology, and we will come up with an answer to this question in the next call, I would say. It's ongoing, and what you thought was absolutely right. Circumstances and conditions changed dramatically in Europe, and for me, Europe is not the best place to be in that business.
Andreas Heine: I guess that's completely right. Currently, you feel very comfortable with the quality and technology it can deliver, but as it is a very dynamic market that might change over the coming years. Not having a lab would then anyhow mean that you are phased out.
Thomas Dippold: Andreas, if you look into the pie chart, this is a very, very small business. It will not make much in the value of the company if we discontinue it or double it. It's very small.
Andreas Heine: I was more talking about the potential I see in that business, if you are a European producer.
Operator: The next question comes from Sven Sauer with Kepler Cheuvreux. Please go ahead.
Sven Sauer: Yes, hello. Just a quick question on the Composite Solutions segment, after the Q2 results, you stated that you were very happy with the pipeline and that you should compensate for the downturn within the next six months. I was just wondering if something has changed now in Q3 regarding the pipeline of CS.
Thomas Dippold: Sven, you have maybe heard about the troubles a lot of OEMs are in. The effect for us is that the customer down payments, which we received in the last two or three years, it's much harder for us to get. This is the first change. EV projects, everything which is related to electromobility, is delayed. There are not many projects, which are really cancelled, but the OEMs delay it by six months, 12 months, 18 months. The pipeline is still as healthy as it was, but it is a little bit delayed. The return on investments also are longer because we have to finance it upfront with our own money. This is a change, which we experienced the last three to four months, but the pipeline is still good in terms of projects. Has this answered your question?
Sven Sauer: Yes. Thank you.
Thomas Dippold: Okay.
Operator: [Operator Instructions] Julia, you should dial in again.
Claudia Kleppert: Do we have additional questionnaires? I could see. I see Andreas Heine again too.
Operator: Yes. We have a follow-up from Andreas Heine with Stifel. Please go ahead.
Andreas Heine: Yes. I'd like to come down to these down payments. I not fully got this. You have, on the one hand, incoming down payments and on the other hand, you have to deliberate. The net effect of that, how does it look like this year and next year under the circumstances as you see them now? What does it mean for your free cash flow?
Thomas Dippold: Andreas, I talked about the down payments of the composite solution business, so automotive parts. This was what I'm talking about. Not mixed up with customer down payments from the graphite business. They are coming as contractor. But you're right, and this is normally for the tooling. This is for composite solutions where we get this money upfront from our OEMs. Your question, if it is related to silicon carbide, there we have a net effect of plus 20 million in this year the way we foresee it, we get 20 million more inflow than monies that we return.
Andreas Heine: Very positive. Good. When does that flip to the other side under the precaution that you said that next year's sales into the semiconductor market will be on the current level? The run rate now is some 50 million, so I would then assume that you look for the digitization market in the magnitude of 210 million, 220 million next year.
Thomas Dippold: I don't comment on your numbers, but your question I would like to answer. You said when will this flip, and it will flip next year. You know that the sales are -- or not our sales, but the number of customer down payments is significantly declining compared to the years before. We had roughly 30 something two years ago. We had roughly 100 million last year, and we now have 31 so far in this year. There's a little bit to come also in Q4. If you net it, it's plus 20, and next year we will see some more down payments if you're not able to collect more customer down payments than we foresee at the moment. But then will be the time when the capacity is either installed or on the way to be installed. And then, hopefully together with higher sales and higher profits, we're able to pay this down over the years.
Andreas Heine: Thanks a lot.
Thomas Dippold: My pleasure.
Operator: It looks like there are no further questions at this time.
Claudia Kellert: I couldn't see questions yet as well, so then I can close the call. Thanks for your participation. You will find the presentation as well as the report on our webpage, and if you have additional questions, please contact Jürgen Kohler or myself. Once more, thanks, and have a nice afternoon. Bye-bye.